Operator: Good morning and welcome to the Berkshire Hills Bancorp First Quarter Earnings Release Conference Call. All participants will be in listen-only mode. (Operator Instructions) After today’s presentation, there will be an opportunity to ask questions. (Operator Instructions) Please note this event is being recorded. I would now like to turn the conference over to Allison Rourke, Investor Relations Officer. Please go ahead.
Allison O’Rourke: Good morning. Welcome to America’s most exciting bank and thank you for joining this discussion of first quarter results. Our new release is available in the Investor Relations section of our website, berkshirebank.com and will be furnished to the SEC. Our discussion will include forward-looking statement and actual results could differ materially from those statements. For a discussion of related factors, please see our earnings release and our most recent SEC reports on Forms 10-K and 10-Q. Now, I’ll turn the call over to Mike Daly, President and CEO.
Michael P. Daly: Thank you and welcome Ally. Good morning everyone and welcome to our first quarter conference call. With me this morning our Chief Financial Officer, Kevin Riley; and of course other members of our management team. We released our first quarter earnings last night and I’m pleased to report that we delivered on our guidance of $0.54 in core earnings per share for the quarter. Now, this is a 20% increase over last year’s first quarter results and our profitability reminded at the improved levels, obtaining a following the Beacon acquisition. And these include an 8.1% core ROE, a 15% core return on tangible equity, and a core ROA of 103 basis points. Our GAAP results included non-core items for Beacon merger related costs and of course Kevin will provide some more color on that in just a few minutes. Let me take a minute to address feedback I’ve gotten over the matter of loan growth. Now what we’ve posted in the last couple of quarters has admittedly been different from our prior expectation and we maybe another quarter away from where this will be as predictable as we would like it to be. Our focus is on the commercial loan book and as we’ve noted in our view we grew that at a 4% rate before these merger related restructurings which are primarily from impaired loans. Demand by other lenders to take on these credits at very low yields did exceed our expectations. Additionally some non-relationship commercial real estate, much of which was acquired has been less sticky and is going in the structures that just don’t meet our discipline. Now we’re generating relationship oriented business loans at a double-digit annual clip with our new teams that are better short-term and long-term core focus for us. The net result was that our total commercial book declined in the fourth quarter and then stabilized during the most recent quarter while we’re going through some of this remixing. Now, we expect that positive net commercial loan growth will remerge by the second half of the year and we’re managing the captured good premiums and support our bottom line objectives in the interim. We expect the volume growth to more than offset yield impact, so that total revenue momentum is positive for the year. The mortgage changes are more balance sheet management related then core business related. And we’re going to continue to do our best job of balancing yield and duration with our mortgage assets. We’re maintaining our focus and supporting and growing EPS while also protecting our asset sensitive interest rate risk profile. Now having said that let me move back and begin to talk about our overall operations during the quarter. Despite seasonal variations, we did maintain ongoing organic growth in targeted areas while also continuing to move forward with other initiatives. Operating highlights included 12% annualized growth in commercial business loans, 10% annualized growth in average deposits and this does adjust for the impact of some sort-term money on the balance sheet at year-end. And most importantly, we had 15% annualized point to point growth in personal checking. The systems integration of Beacon has done. And at this time, we’ve fully integrated all recently acquired operations on to our new core system technology. We also continued with commercial team recruited with the announcement of our new Eastern Mass and our new commercial leadership in Syracuse, so a solid operating quarter and continued building for future growth. Now let me expand on the commercial team recruitment and this is why we continue to deliver double-digit C&I growth even in this environment. Our commercial team recruitment is geared towards building this portfolio and the revenue and profit to go with it. Our new Eastern Mass team is a seasoned commercial group from TD Bank in Burlington just north of Boston, not too far from our Woburn asset based lending operations. And this team signed up for our usual model to reach breakeven through business development by the end of year one. The Westborough team that we recruited a little more than year ago was successful with that formula and I’m confident that we’ll see that result with this team as well. So we continue to build our Eastern Mass presence where we think we can continue to gain market share. In addition to the commercial teams, I just talked about, we now have a branch in Chelmsford from our Beacon acquisition and we plan to add branches in Westborough and Burlington. Now this is further augmented by the strong referral business we’ve built up through our eight mortgage banking locations in that region as well. And meanwhile, we recruited a strong commercial leader in Syracuse from M&T bank, and we plan to build a team in that market. Combining with our retail presence in Central New York and from the Rome and Beacon acquisitions, we’re now one of the leading regional banks operating in that region. Our Connecticut team will also is building our market area presence. Let met pause just for a minute and pay attribute to Dave Lentini, who passed away recently. The Dave built the CBT franchise as perhaps the final accomplishments in his long and well regarded career as a Connecticut banker and we plan to build on that foundation that he and his team have created. Looking forward, we expect to see the benefit of our growth initiatives as we move through the year and while we harvest that benefit we’ll also continue to manage our balance sheet to optimize our long-term results. In the first quarter, our C&I loan growth offset some ongoing reductions in commercial real estate including the resolution of acquired impaired loans. And as we noted in the release, our total commercial loans net of this increased at around 4% annualized [effect]. As we also noted in the release originations of new commercial commitments were up significantly compare both the link quarter and the year ago period. And we look forward to fundings from these commitments as we move through the year. Our new teams are collectively generating high originations and we look forward to the added impact of our newest recruits as the year continues. Now having said that, I will echo with some others are seeing in the industry. That commercial lending competitive is tightened in terms of margin and tenure and structure. We are going to maintain our discipline in this regard and we are going to be patient if necessary and obtaining growth objectives. I think it’s important to note that one of these disciplines is embedded in through our merger diligence and post merger credit management. And while this process can restrain near-term overall loan growth and we have recorded significant value of acquired impaired loans. And as we know in our release these recoveries are mostly reflected in higher net interest income and once again this quarter we reported a higher net interest margin and this has represented very solid value generation for our shareholders. The same market condition that are effecting the competition for new business that actually given (inaudible) us excellent opportunities to turn impairments into recoveries and that has boosted earnings and equity. As I’ve mentioned before, we do look to balance the positive and negative effects of our operating environment to achieve our longer loan objectives, while also delivering our targets for current period earnings. Now turning to retail, we saw a similar balancing and the residential mortgage side. As we expected our loan related fees were down in the first quarter from the record levels in the prior quarter as mortgage refinancing activity in related to spread subsided from record highs. Lower refinancing volume also contributed to lower prepayment speeds in our own mortgage related premium amortization and this, therefore contributed to higher net interest income and a higher net interest margin. Now we previously noted how changes in prepayment speeds can have offsetting effects on our interest income and loan related fee income. We also received non-interest income benefit from a balance sheet shift to reduce our fixed rate mortgage portfolio and increase of short duration mortgage backed securities. We must maintain our asset sensitivity to product future earnings when interest rates do rise and we will. Now putting it all together on a revenue side compared to the prior quarter, we maintain net interest income level and fee income was a little softer than we anticipated. Looking at expenses, we had noted that fourth quarter of 2012 expenses were higher than normal, but in the first quarter we were able to not only bring them back in line, but tightening down a little further offset to fee income compression. Our expenses management initiatives included the consolidation of two branches and to be consistent integration in March. We also have ongoing Six Sigma projects as we work on minding the revenue and expenses opportunities in front of us. Offsetting this in part will be the manage cost of our de novo growth. We achieved a 57% efficiency ratio in the first quarter and our strategy continues to focus on positive operating leverage with revenue growth, outpacing expenses growth. And I am going to pause for a minute, I will ask Kevin to provide some more color on some of the details in our outlook, and then I will come back and sum it up. Kevin?
Kevin P. Riley: Thanks, Mike, and good morning, everyone. As Mike has mentioned, we reported $0.54 in core earnings per share for the first quarter. This result represents a 20% over that first quarter of 2012 and it’s also in line with our prior guidance. Our first quarter GAAP earnings were $0.42 per share, which included $0.12 or $3 million in after tax merger related charges which were associated with our Beacon transaction. At this time, we do not anticipate any further future non-core charges relating to post or past mergers for our core system conversion. The second quarter should be a clean quarter with regards to core earnings, equally in GAAP earnings. Now we take a look at the balance sheet. Total loans decreased by $100 million for the quarter. This decrease is mainly driven by a decrease in our residential mortgage loans which were replaced by shorter duration MBSs in our investment portfolio. Total commercial loans remained pretty much flat as we rewind this portfolio from commercial real estate business loans, which grew by 12% annualized, as Mike has already stated. Our commercial vendors continue to do a great job in originating new production, which is allowing us the ability to transition this portfolio. Our total deposits for the quarter was flat, to levels reported to that in the fourth quarter, including the impact of seasonal funds close. As we’ve noted in the release, average balances continue to decline and as Mike has mentioned, our personal checking balances increased at a 50% annual rate for the first quarter, which demonstrates the ongoing growth momentum in our franchise. We continue to experience the movement of higher cost CD balances moving into lower cost money market accounts. This helps in overall cost of deposits which I will discuss later in my remarks. Let’s turn to the income statement, net interest income for the first quarter was relatively equal to that of the fourth. Our net interest margin did pick up slightly from 3.67% recorded in the fourth quarter to 3.73%. As we have commented in the past quarters, our net interest margin is impacted by the realization, our premiums and discounts on loans acquired through previous bank acquisitions. This quarter was no different, again we benefited from those purchase accounting recoveries, the impact on the margin this quarter was very close to the same impact we saw in the prior quarter. As Mike has mentioned, we are taking advantage of these times while all the banks are hungry for assets, so we are moving some of our acquired and peered assets off the balance sheet. So, for the last two quarters this has had a favorable impact on our margin. Third, we believe the underlying net interest margin after the realization of these impaired recoveries to be in the low 3.50s. As many of our other peers, we continue to experience downward pressure on earning asset yields and we’re doing our best to offset this to funding cost reductions. Positive cost for the quarter were reduced from 59 basis points reported in the prior quarter to 53 basis points. For the second quarter, we believe, we will continue to benefit for the recognition of impaired loan discounts. So, we are anticipating our margin to be around 3.60 levels for the quarter. Our asset liability profile still remains asset sensitive, as we wait to benefit from increasing rates. Non-interest income for the quarter was little softer than we expected As of many other banks our mortgage origination income was down as compare to that in the fourth quarter, resulting in lower loan related fee income with rates being up during the quarter, we saw refinancing volumes decrease. We believe with the current low rate environment and in the spring home purchase season of [partners] that loan related fee levels should move higher for the second quarter. All other fee categories were up over the prior quarter except for deposit service charge fees which were down due to less overdraft revenue. We are projecting for the second quarter non-interest income to be around $16 million. The loan loss provision for the first quarter was $2.4 million, which was in the range of our expectation and exceeded our net charge-offs which was quarterly relatively low at 23 basis points annualized. Our credit metrics remains strong, so we were not changing our full year expectation of provision in the area of about $10 million. For the first quarter we reported $39.5 million in total non-interest expense of which $5 million of this expense was related to non-core charge associated with our Beacon acquisition. At this time our Beacon acquisition has been fully integrated with the expected cost savings to be realized. As always, we continue our focus on maintaining positive operating leverage as we have in the past. Just to keep our efficiency ratio around 57% as reported in the first quarter. So for the second quarter we are projecting our core non-interest expenses to be in the same range as we reported in the first quarter. And with that I’ll conclude my comments and turn the call back over to Mike.
Michael P. Daly: Okay, thank you Kevin. Our second quarter EPS guidance of $0.55 to $0.56 does represent more than a 15% growth over last year’s second quarter core results and it’s also a solid gain over our $0.54 first quarter core results. And we also believe that we’re going to be building some momentum for additional earnings gains in the second half of the year. Now, beyond the commercial regional initiatives that I commented on earlier, we are working on numerous other revenue sources. We’re expanding Beacon’s consumer lending program, we’ve added small ticket leasing capability to our asset based lending group, we’ve made pricing changes for a certain fee based products and we have begun to see some hardening in our insurance pricing although this will probably takes some time to land on the bottom line. Additionally as we noted in the release, our wealth management revenues are advancing nicely based on market and market share gain. As you know, we announced in March that we completed our existing stock repurchase program and authorized a new one with approved volume of about 500,000 shares at around 2% of outstanding stock. And we do view this as a fine tuning of our capital particularly in light of exercises of options rolled in the Beacon acquisition. Our active program in the first quarter clearly reflects our own view and analysis that our stock has been under priced in the market and we believe that these repurchases benefit our share holders. Future decisions about stock repurchases will be made as we go along. We continue to be focused and moving ROE towards our 10% goal and we’ll be managing our capital in ways that reasonably contribute towards that objective. The AMEBU culture continues to be a driving force within this company and it’s allowed us to attract strong performers who want the focus, the commitment, the engagement and the responsiveness that we offer as a partner in our market. We also opt that this partnership to investors. And our most recent results continue to maintain our path of double-digit EPS growth and 15% core return on tangible equity. The environment was challenging in the first quarter and we have and we will respond aggressively, but prudently to make the right investment decisions based on our goals by providing competitive returns and investor equity. So, let me conclude. I’m very proud of what this team is doing. We’re hitting our earnings goal in a challenging environment. We’re using multiple strategies to generate value and better profitability. And lastly, we’re adding to our team to support revenue growth as we go through the year. Now this completes my prepared remarks and I would invite the operator to open the lines for questions.
Operator: At this time we will begin the question-and-answer session. (Operator Instructions) And our first question is from Mark Fitzgibbon of Sandler O’Neill.
Mark Fitzgibbon – Sandler O’Neill & Partners, L.P.: Good morning guys. Hey, Michael, how are you?
Michael P. Daly: Terrific.
Mark Fitzgibbon – Sandler O’Neill & Partners, L.P.: Mike, I wonder if you could share with us the sizes of the loan pipeline at quarter end and also maybe what sort of the average rates look like in the mix of business in the pipe.
Michael P. Daly: Yeah, absolutely. I think Pat did a lot of work on that in the last few weeks. So…
Patrick J. Sullivan: Yeah, hi, Mike. It’s Pat Sullivan. How are you doing today?
Mark Fitzgibbon – Sandler O’Neill & Partners, L.P.: Hi, Pat.
Patrick J. Sullivan: Yeah, Mike. Our pipeline is about a $125 million, which what we call the high and medium pipeline. It’s probably $250 million in total. Spreads, probably $250 million to $300 million depending on our businesses between asset based lending, a little on the higher side and middle market being a little on the lower side. We’ve had very good reduction in C&I in the first quarter and we’re seeing the same thing reflected in our pipelines yet for the second quarter.
Mark Fitzgibbon – Sandler O’Neill & Partners, L.P.: Okay. And could you also comment on the pipeline within the mortgage banking business, how that’s looking and what gain on the sale margins look like for you?
Michael P. Daly: Sure, Sean?
Sean A. Gray: Sure, sure Mark. We have seen that pickup current pipelines from our mortgage business are about $185 million. We’re targeting about $125 million in locks per month. Our consumer pipeline is about $25 million coming to all time highs for us, so we’re seeing some momentum in building that. And what was your last piece of that question, Mark?
Mark Fitzgibbon – Sandler O’Neill & Partners, L.P.: What the gain on sale margins are looking like these days?
Sean A. Gray: We are seeing gain on sale margins down about 10% to 20%. We saw highs in the fourth quarter of about 2% that coming down to about the 175 mark on a gross basis.
Mark Fitzgibbon – Sandler O’Neill & Partners, L.P.: Okay, great. And then lastly for you Mike, I wondered if you could maybe share some anecdotes with respect to M&A chatter in the region generally. And what your appetite is these days for doing deals now that the Beacon deal is fully integrated?
Michael P. Daly: Well, our appetite is about the same as it’s always been which is if there is a deal that comes our way and it makes a sense for us based on the parameters that we’ve done our last three or four deals on. We’re going to want to look at it. I don’t know whether or not, there is a pent-up desire to run out and sell banks today. But I do think it’s getting harder, I think it’s getting harder to deal with the pressures of interest rates and it’s getting harder to deal with the regulatory over side if you’re a smaller bank. I think probably one of the biggest issues that’s going to come over the next year or two is going to be the asset sensitivity issue and there will be some institutions that have, I think used the liability sensitive methods to increase quarterly earnings and that could cause some additional M&A opportunities as well. So I think the M&A environment looks much like it has over the last couple of years and that is you get a fixed year targets and you’ve got to do a deals that make an awful lot of sense and I think there is a more disciplined acquirer mentality out there, which is why we haven’t seen necessarily the big boom in consolidation that I think some of us were predicting.
Mark Fitzgibbon – Sandler O’Neill & Partners, L.P.: Great, thank you.
Michael P. Daly: Thank you, Mark.
Operator: And the next question is from Collyn Gilbert of KBW.
Aaron Brann – Stifel Nicolaus: Good gentlemen, this is Aaron Brann calling in for Collyn, how are you doing?
Michael P. Daly: Well, we are good, Aaron, how are you?
Aaron Brann – Stifel Nicolaus: I am doing fine, thank you. I just have a few questions, the first couple relate through the repositioning of the balance sheet this quarter, you’ve mentioned that you sold a lot of low rate, fixed rate mortgages and swap them into securities, beyond the ones that you sold, are you also allowing run off, are you looking to do portfolio growth behind the scenes, sort of that they made the mass by the [wrong] sale of this quarter?
Michael P. Daly: I am not sure I completely understand, but the answer I think is no, which is you want to ask it again, I mean Sean did you understand the question?
Sean A. Gray: Why don’t you ask it again?
Aaron Brann – Stifel Nicolaus: I do rephrase. Sorry about that.
Sean A. Gray: That’s okay.
Aaron Brann – Stifel Nicolaus: So, the residential loan portfolio was down sharply quarter-over-quarter, did not principally reflect just a loan sales or did you, are you also allowing regular portfolio or regular loans to run off within your revenue portfolio?
Kevin P. Riley: Well, I can answer that. Predominantly, it reflects loan sale. We’re selling in this environment upwards of 90% of production. So you’re going to have some typical run off throughout a year and that will be typical. We are seeing applications and volumes pick back up. And I think per my guidance to Mark, we’re looking to do about $125 million a month in application. So as an overall shop, we’ve got some incredible momentum and are doing some great volumes. So we’ll have good flexibility going forward of continuing to sell in this downward rate market or looking to portfolio morph if there is going to be any interest rate changes going forward.
Aaron Brann – Stifel Nicolaus: That okay
Kevin P. Riley: That helps a bit.
Aaron Brann – Stifel Nicolaus: Yes. So there’s no concern if that could allow the portfolio to run off?
Kevin P. Riley: No, I mean, just typical run off.
Aaron Brann – Stifel Nicolaus: Okay. And during the quarter, when in the quarter did you sell these fixed rate mortgages? Was that early in the quarter, mid quarter or late quarter?
Kevin P. Riley: It’s mid-to-late. We found an incredible opportunity. Our partner needed to loans to pledge for the FHLB. We hadn’t a lack of about 3.8 on that portfolio and average price over 1.03. So moving to line, we can’t anticipate some of those opportunities, but are good opportunity.
Michael P. Daly: We’re using a pretty detailed methodology with our asset sensitivity. And we very easily could have said in the first quarter, okay, we need to do this in order to keep our asset sensitivity in balance, but we’re not going to do this quarter. I don’t think there’s any reason not to do it, quite frankly.
Aaron Brann – Stifel Nicolaus: And previously, I think you targeted loan growth for the entire year of a great mid-single digits, given the sale of this quarter, as well as what sounds like it could be a little bit more volatility in the next couple of months do you have an updated loan growth number for the full year?
Michael P. Daly: I think that there is a chance we will some more volatility this quarter, in fact, I know there is some additional stock that we may want to move out, I think we are probably somewhere between flat and maybe 2% this quarter and then I think it’s the momentum picks up significantly for the third and fourth quarter, so that’s about as detailed as I think I can be at this point.
Aaron Brann – Stifel Nicolaus:
, :
Michael P. Daly: Okay, thanks.
Operator: And our next question is from Matthew Kelley of Sterne Agee.
Matthew Kelley – Sterne Agee: Hi, guys.
Michael P. Daly: Hey, Matt, how are you doing?
Matthew Kelley – Sterne Agee: Yeah, just to be clear, what was the dollar amount of loans that you sold out of the portfolio just unclear?
Michael P. Daly: On the residential or commercial?
Matthew Kelley – Sterne Agee: Yes, on the residential actually both pieces?
Michael P. Daly: Well, residential was…
Kevin P. Riley: $25 million
Michael P. Daly: It’s $35 million and commercial is upwards of about $20 million I think right.
Kevin P. Riley: Yes, $20 million.
Michael P. Daly: Yeah
Matthew Kelley – Sterne Agee: Okay, and then the commercial loans just kind of let run down as well the commercial real estate, that you said some other lenders and other banks would be in pretty aggressive on the terms they are offering to those customers, what where the rates that those other banks were willing to lend out that you were not and how big is that spread in terms of what you guys are doing and versus what you are seeing your competition doing?
Michael P. Daly: I will give an example on one that I noticed have been [bunted] around here from time-to-time and that is the commercial real estate deal, where we completed construction, and I’ve heard numbers as low as 2% to 2.5% fixed for 20 years with no guarantee. We’re not going to do that and so that leaps.
Matthew Kelley – Sterne Agee: Yeah. Got you, okay. And so, what should we be expecting on these securities portfolio during this time of some volatility in the loan book, is that going to continue to grow at a similar rate in the second quarter as well?
Michael P. Daly: There would be some growth Kevin, correct in the second quarter.
Kevin P. Riley: That’s correct. It probably won’t be a dramatic, it’s the first quarter but we’ll have a little bit probably growth in the – and so we’re going to pick our times when the win rates if we’re right positioned.
Matthew Kelley – Sterne Agee: Okay, got you. And then reserves on the originated loans are 122 basis points now. Where should that go over time that we kind of selling out here at 1.2% or is there a room to bring that down further?
Michael P. Daly: Richard?
Richard M. Marotta: Yeah, I think right now when we look at it, I think the 120 coverage is a good place to be and again in the foreseeable future to probably going to stay right around that number.
Matthew Kelley – Sterne Agee: Okay, got you.
Michael P. Daly: Okay and I do think that what we are debating all the time and we have to be careful of, is that this is a cyclical industry. And it’s very easy for people to jump back into something that doesn’t make sense for the future and we’re going to be disciplined about that and I don’t think we need to do it.
Matthew Kelley – Sterne Agee: Okay, got it. And then just, how much you’re going to be spending on these new branches? What should we be baking into the model for that, the branch build out?
Richard M. Marotta: We also have some plan to further consolidations. We’re able to consolidate three branches in the first quarter. So we anticipate probably another three for the remainder of the year, so we’re getting out of that cost and redeploying it. So…
Michael P. Daly: Could net…
Richard M. Marotta: Yeah, so from a net perspective, they almost offset each other for this year.
Michael P. Daly: There won’t be material.
Richard M. Marotta: There won’t be material, right.
Matthew Kelley – Sterne Agee: And last question, any comments on your full year guidance that you provided last year 225 to 235, I mean if you add this quarter’s guidance that you’re providing and part of pretty good ramp in the back half of the year, it’s now $0.58 to $0.63 kind of quarterly type of run rate to achieve that, commentary on that?
Richard M. Marotta: I think you will know more about that as we get to the second quarter.
Matthew Kelley – Sterne Agee: Okay, all right, thank you.
Michael P. Daly: Thank you.
Operator: And this concludes our question-and-answer session. I would like to turn the conference back to Mike Daly for any closing remarks.
Michael P. Daly: Okay, thank you this does conclude the call. I want to thank everyone for joining us and of course we look forward to speaking with all of you again in July to discuss our second quarter results.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.